Operator: Good day and welcome to Trinity Industries Second Quarter Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, today's event is being recorded. Before we get started let me remind you that today's conference call contains forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995 and includes statements as to estimates, expectations, intentions and predictions of future financial performance. Statements that are not historical facts are forward-looking. Participants are directed to Trinity's Form 10-K and other SEC filings for a description of certain of the business issues and risks, a change in any of which could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements. I would now like to turn the conference over to Leigh Anne Mann, Vice President of Investor Relations. Please go ahead.
Leigh Anne Mann: Thank you, operator. Good morning, everyone. We appreciate you joining us for the company's second quarter 2022 financial results conference call. Our prepared remarks will include comments from Jean Savage, Trinity's Chief Executive Officer and President, and Eric Marchetto, the Company's Chief Financial Officer. We will hold a Q&A session following the prepared remarks from our leaders. During the call today, we will reference slides highlighting key points of discussion as well as certain non-GAAP financial metrics. The reconciliation of the non-GAAP metrics to comparable GAAP measures are provided in the Appendix of the supplemental slides, which are accessible on our Investor Relations website at www.trin.net. These slides can be found under the Events & Presentations portion of the website along with the Second Quarter Earnings Conference Call event link. A replay of today's call will be available after 10:30 AM Eastern Time through midnight on August 3, 2022. Replay information is available under the Events & Presentations page on our Investor Relations website. It is now my pleasure to turn the call over to Jean.
Jean Savage: Thank you, Leigh Anne, and good morning everyone. As you will hear in our remarks this morning, we think that today's results are proof that our hard work is paying off and we are seeing improvement around our business and we see utilization renewal rates and the FLRD are all up, sequentially. Margins have improved and our lease fleet continues to be optimized to meet changing demand in the markets we serve. In Rail Products, though supply chain and labor issues persist, we saw sequential improvement in both, revenue and margins, and are on track to reach our goal of a mid to high single-digit operating profit margin before the end of the year. In short, we are proud of our team and so are increasingly confident about what we can accomplish in 2022. Before I get to the results, I wanted to share with our investment community that on June 28th Trinity celebrated 50 years of being listed on the New York Stock Exchange and had the unique opportunity to ring the closing bell. I was there with my executive team as well as some of the leaders of our employee resource groups and it was a really exciting experience. And now turn with me to Slide 3 to talk about our key messages from today's call. For the second quarter, we are reporting GAAP and adjusted EPS from continuing operations of $0.14, which on adjusted basis is up $0.11, sequentially, and $0.06 year-over-year. These results reflect improving operations and Trinity's ability to execute despite high inflation and high interest rates. We are working diligently to reprice our assets to reflect the current market dynamic. As a result, our Future Lease Rate Differential, which is calculated by attributing current lease rates to all railcar leases expiring in the next 12 months, improved to 14.7%. This is now the fourth consecutive quarter of a positive FLRD. We continue to see tightness in the North American fleet drive utilization of our fleet. We ended the quarter with fleet utilization of 97.2%, in line with pre-pandemic levels. Based on our results to-date, we have confidence to raise our guidance range to between $0.90 and $1.10 adjusted earnings per share. Turning to Slide 4, I want to spend a little bit of time talking about what we see in the market. As you are all aware, labor issues have been an impediment for the railroads, and you can see the impact of these challenges in the top-left chart, which shows rail traffic down from last year, but still well above 2020 levels. Additionally, on the top-right chart, you can see that after almost two years of reductions in the storage rates for railcars that number ticked up slightly in June, and again in July. In regards to the service levels, several Class 1 railroads are actively seeking to curtail the number of railcars on their lines to begin normalizing their performance. While these actions may drive some railcars out of service in the very near-term, we believe improved railroad service is imperative. We are hearing from our shipper customers, there are more originations available than industry data would suggest. The railroads have not been able to meet all of that demand this year. We need the North American freight rail network to normalize to support the current flow goods presently and make rail a compelling mode of transportation in the future. Moving to the bottom half of the slide, as I already mentioned, our fleet utilization and FLRD are both up, sequentially, and compared to last year. Lease rate improvement and utilization improvement continue to be led by the freight car market and this quarter we saw delivery of a higher volume of high margin freight cars. We expect this trend to continue through the year. Railcar orders in the quarter were 4,335 and deliveries were 2,510, an increase of 42% year-over-year. We expect to deliver about twice as many railcars in the second half of the year as we did in the first half. One thing to note is that a larger portion of our railcars were delivered into our lease fleet this quarter and we continue to believe giving our customer this option is one of the many strengths of our platform. Along with the sale of new railcars to meet customer demand, additionally, we took advantage of an active secondary market and bought and sold in the quarter to further optimize our fleet. Eric will talk more about this in a moment, but it is important for investors to recognize that our ability to build for lease is a significant lever at our disposal to drive optimal returns and meet the needs of the current market. Please turn to Slide 5. Our revenue in the quarter was $417 million, up 42% year-over-year. Our earnings per share for the quarter was $0.14, also an improvement year-over-year. On the cash side, our cash flow from continuing operations was a negative $90 million, and free cash flow was a negative $5 million Our cash flow is being impacted by higher volumes of railcar deliveries in future periods as well as continued supply chain challenges, both of which require higher inventory balances. Moving to Slide 6, let's talk about our segments, starting with Leasing. In Leasing, improved utilization, renewal rates up 13.2% over expiring rates and their renewal success rate of 82%, all increased our revenue to $195 million. We also increased our Leasing and Management operating profit margin to just over 40% in the quarter with lower fleet operating cost mainly driven by lower maintenance expenses than last quarter. It's worth noting that our margin is negatively impacted by over 200 basis points from the accelerated depreciation related to sustainable railcar conversion. We also recorded a gain of $27 million for lease portfolio sales in this segment this quarter. In Rail Products, we saw sequential and year-over-year improvement in both, revenue and margins. Our revenue for the quarter improved on higher deliveries, as well as more HM-251 modifications. As input costs remained elevated, we also booked more revenue from escalation provisions in our contracts. While our escalation provisions protect margin dollars, escalation will pull down margin percentages, as the revenue and costs, both go up by the same amount. However, our cash-on-cash returns remain unchanged. On the margin side, we saw great improvement a the segment operating profit margin of 3.2%, up from breakeven last quarter. This margin gain represents improved performance in the business as we are beginning to deliver higher priced orders and realizing efficiencies in our manufacturing process. We have stated, we expect to end the year with an operating profit margin in mid-to-high single digits and we are proud to show the progress we are making, especially since we were delivering on some fixed price deliveries in the quarter that negatively impacted the margin. As we deliver almost double the first-half production in the second half of the year, we expect to see continued improvement in the margins. Please turn to Slide 7, where we review some of the initiatives, we are pursuing around our business to enhance ROE. In the quarter, we closed two ABS transactions, including TRL2022 in April and Tribute Rail in May, both are secured with existing railcar assets. Now, turn with me to Slide 8 to talk about our digital product portfolio and an exciting acquisition we made in the second quarter. We regularly talk about Trinsight, our next-gen digital platform that monitors sensor equipped cars and their freight in the real-time. It uses data and analytics to provide insights into the health, performance and status of the fleet. This quarter, we acquired the Quasar platform to enhance our offering with yard management capability and access to new customers. The product monitors each railcar noting when it arrives, is inspected, cleaned, repaired, loaded and departed. Trinsight and Quasar will work in tandem to give Trinity and our shipper customers more visibility and predictability of supply chains. These services will be further benefited by the RailPulse initiative. As a refresher, the coalition is made up of forward-thinking railcar owners, who are working together to enhance rail safety, efficiency and sustainability advantages for shippers through the adoption of GPS and other telematics technology. We were proud to be a founding member of this coalition. And we're also excited to welcome to the group this quarter, Union Pacific, the second Class 1 railroad to participate. The collective coalition now comprises approximately 30% of North American railcars. To put it all together, we see a future where digital logistics platforms like Trinsight and Quasar, RailPulse's standardized infrastructure and emerging sensor and GPS technologies, work together to deliver rail shippers a clear view of their supply chain, enabling them to make better, faster decisions in this changing global economy. We are believers in the railroads as an important part of the North American supply chain, and we believe these developments will help drive modal share and improve visibility, safety and efficiency of the rail network. While the financial impact of our digital product portfolio is still small, we are on target with our internal goals and expect continued growth as our industry and our customers recognize the benefits of a digitized rail network. Before I hand the call to Eric, I want to again reinforce my enthusiasm about the second half of 2022. As we have said on the last two calls, our backlog gives us visibility into future revenue and the work we did at the bottom of the cycle to improve our business will allow us to realize higher margins as our revenue grows. We believe in the strength of our platform and we think our business though not immune, is better able to weather the impacts of high inflation and interest rates than most. I look forward to talking with you in October about our continued growth. And now, I'll turn the call to, Eric, to go through some of our financial results. Eric?
Eric Marchetto: Thank you, Jean, and good morning everyone. I'll start my comments on Slide 9. As Jean mentioned, our GAAP and adjusted earnings per share from continuing operations were $0.14 per share. We had better operating performance in each of our segments and we benefited in the quarter from $144 million in lease portfolio sales with a gain of $27 million. Lease portfolio sales were normal part of our business and remained active in the secondary market as both, buyers and sellers. I think this quarter provides a good example of the power of our platform. We originated new railcar leases, we made investments in our sustainable conversion program, we purchased railcars in the secondary market and sold railcars into our RIV program as well as in the secondary market. We're able to respond to market demands and create value through our lease portfolio while improving our return profile. This quarter, 41% of our deliveries went into our lease fleet and this shift in the deliveries toward lease fleet additions is largely the result of more deliveries to industrial shippers, who typically make the decision to lease railcars. This dynamic works very well for Trinity, both because of our competitive advantage as a manufacturer and lessor, but also because of our ability to raise lease rates as the railcar fleet tightens and improve yields, even as asset costs rise. Furthermore, this allows us to meet demand as these railcars leased to industrial shippers are attractive investments for our fleet and that of our RIV partners. As we maintain our goal of disciplined lease fleet growth, we are also selling railcars out of our lease fleet to continue to optimize the size and composition of our investment. These sales create better economics, because we realized pricing favorable to railcars without leases. I continue to believe that being active in the secondary market makes us a more informed fleet owner and manager, driving better performance. Our cash flow in the quarter is lower than usual as we increased our production rate, which is the largest use of cash. Also, the impacts of supply chain disruptions have continued to impact our business. We are experiencing shipping delays, which has impacted our inventory management. We have recently experienced temporary shortages of materials used to manufacturer or repair certain railcar types as well as disruptions in the transportation networks used to deliver our products, which have impacted our ability to deliver these railcars for our customers in a timely fashion. You can see this in the high inventory levels on our balance sheet. We're continuing to work through these challenges and expect cash flow to turn positive and be more in line with historical performance as the year progresses. I also want to note that we completed our accelerated share repurchase program during the second quarter, which allowed us to resume regular share buybacks. We purchased approximately 25 million of shares in the second quarter after settling the $25 million remaining on the ASR, for a total return of capital of $50 million in shares, bringing our diluted weighted average share count down to 84.4 million shares, which represents a 19.7% reduction in share count in the last 12 months. Combined with our regular quarterly dividend payment, we returned $90 million to shareholders year-to-date. Continued on Slide 10, with the working capital ramp up, our liquidity was approximately $420 million at the end of the quarter, including cash revolver availability and warehouse availability. I also wanted to call attention to the increase in restricted cash on our balance sheet, which is not included in our liquidity. We completed railcar sales at the end of the quarter and those railcars largely were securitized, meaning, the cash received from those sales is restricted until the assets are replaced. Our loan-to-value is currently 67.3% for the wholly-owned lease portfolio, and is a slightly elevated due to the timing of the securitized railcar sales and utilization of a revolver for working capital. Now, turn with me to slide 11 for some additional updates on our guidance. We are projecting industry railcar deliveries of 40,000 to 50,000 railcars in 2022, which does not include sustainable railcar conversions. We think higher scrap rates over the last few years and aging fleet support this number. Our inquiry and order rate remained strong and supportive of this number as well. As we mentioned on our last call, our rate of production is increasing significantly from where we started the year. And as Jean stated, we expect to deliver about twice as many railcars in the back half of the year as we did in the first half. With more visibility into our full-year plan, we are decreasing our net fleet investment to a range of $425 million to $475 million. Our net fleet investment includes additions of a lease fleet whether through new production, modifications and conversions, or secondary market purchases, offset by railcar sales from our fleet. Year-to-date, our net fleet investment is $199 million. While we are increasing our pace of production, we also anticipate a large railcar sale through an RIV partner in the second half of the year to partially offset the fleet additions. And, as Gene mentioned, we are raising our adjusted EPS guidance. Our full-year guidance is now $0.90 to $1.10, up $0.05 from our previous guidance. This implies a significant increase in the second half of the year with earnings at more than 4 time the level of the first half of the year at the low end of our guidance range. This reflects our confidence in the strength of our backlog, and the positive trends we are seeing in our business. If you turn to Slide 12, I'll reinforce Jean's message from the top of the call, and you'll see why we feel good about the coming quarters. We see improved performance across our business despite an uncertain economic future and high inflation. We are beginning to deliver railcars ordered in a strong pricing environment with escalation provisions in place and we are delivering more of them as the year progresses. The North American fleet continues to tighten, allowing us to raise lease rates. The secondary market remains active, giving us options as buyers and sellers to optimize our fleet and that of our RIV partners. We expect railcar loadings to improve and to see the North American supply chain benefit from a more efficient rail network. We have a backlog of $2.2 billion, a 2022 order book that is virtually full and now have had four quarters of rising FLRD. There's a lot to be excited about and we look forward to sharing our progress with you. And now, operator, we are ready for our first question.
Operator: [Operator Instructions] Today's first question comes from Matt Elkott from Cowen. Please go ahead.
Matt Elkott: Good morning. Thank you for taking my question. I understand the mix from the perspective, when the orders were taken is going to be more favorable in the second half for deliveries. Jean and Eric, can you talk about the mix from car-type perspective in the second half versus the first half? And also more importantly, do you see any notable mix changes in deliveries going into next year? I know that this recovery has been driven more by freight cars than tank cars, but the tank car market has been tightening lately. So, I guess, the spirit of my question is, could we see a slightly higher mix of tank cars next year than we do this year?
Jean Savage: Well, thanks for the question. Matt, this is Jean, I'll start. So, it's still is a freight car-driven market recovery for this year. We are starting to see some signs in some specific markets with the tanks, but it's still not widespread. There's still a lot of tank cars and storage that need to come out and go back to work. So, seeing, I'd say more freight car-driven, but, again, we're taking them in a better market for pricing. So, we are seeing that rise, plus being able to escalate. So, I think, that will be a benefit overall for us.
Matt Elkott: Okay. Got it. And then just one more question, Jean. You mentioned that, as rail service starts to improve, that may be a near-term demand headwind for rail equipment. I understand that some of this, if not all of it will be offset eventually with volume growth as you alluded to. So, my question is about this transition period. I mean, are we going to have a quarter - a period of a couple of quarters, where industry utilization looks worse, decidedly worse for the fleet than where it is now as rail service improves, but before that need - before that translates to volume growth.
Jean Savage: We really think it's going to be a minimal transition period for that to happen. Because as we talk to our shipper customers, they want to move more by rail. So, I think, that as soon as it's open. So the services return, they'll start to move more, so don't expect a large or much of a lag.
Operator: And our next question today comes from Bascome Majors with Susquehanna. Please go ahead.
Bascome Majors: Eric, you did two permanent financings in the quarter. Can you talk a little bit about where you are on your need to finance or refinance the portfolio? And any other access to capital you expect to reach maybe over the next 6, 12 even 18 months?
Eric Marchetto: Sure, Bascome. I like our debt profile overall. We have a nice mix of fixed to floating rate debt, leaning strongly towards the fixed side at very attractive lease rates. You're right, we did access the ABS market twice this quarter. We still have plenty of availability in our warehouse. Also I mentioned, the car sales that we did in the quarter, the $140 million in car sales, a lot of that cash at the end of the quarter is tied up in our restricted cash, to see increase in restricted cash that's because those sales came out of securitizations, so that as we add cars of fleet. We will-- it was more of a timing issue will release that cash as we replace with other equipment. So, I think, we're going to a good spot. In terms of not having access the markets a lot in the near-term.
Bascome Majors: And from your experiences, I mean, we can see the rate and the raw cost of capital there, sometimes it's a little hard to understand the nuance. Can you talk about the appetite in the ABS market in those deals you've done in the last three months, any terms that have changed for better. for worse. Just thinking about the true cost of capital, when considering your flexibility term other things.
Eric Marchetto: Yes. In terms of the-- yes sure. In terms of the terms, it's still the terms have been very favorable to the issuers now as benchmarks have risen and we certainly saw spreads widen as well, so the ABS market was not as deep this year as it was in the last couple of years or last year, but it's still a very attractive market. We still see investors and new investors coming into the rail space there to access to invest in rail paper.
Bascome Majors: Lastly from me, you closed up the tail-end of your comments, kind of, pointing to the sequential trends, the improvement embedded in your guidance and talking about how you feel good about the coming quarters for a handful of reasons. As we bridge that to 2023, I know you don't have EPS guide out there, but the sell-side consensus is somewhere around $2 that doesn't seem out of line with $0.85 that your guidance implies for the second half of this year, but it does seem like your stock price is discounting arguably some cyclical risk to that level. Can you talk a little bit preliminary. I mean just is $2 within the reasonable range of outcomes? Is - any puts and takes as we think about where this is going and how that --and what that implies for your stock valuation would be helpful. Thank you.
Jean Savage: So, Bascome, you know we're not going to give guidance yet that far out, but if you look at our exit rate and getting up to volumes, we expect '23 to remain the same volumes as you're going to see in the second half of the year. So, hopefully, that will help you understand a little bit of the modeling.
Bascome Majors: So there's no reason to think that your internal views are drastically different going into early next year compared to the rate you're exiting this year?
Jean Savage: That's correct.
Bascome Majors: And is the pricing of portfolio as far as the delays of deliveries and when orders were taken, does that continue to improve, sequentially, or is that starting to level off?
Eric Marchetto: Yes. That - the demand environment is certainly - the margin environment for orders taken in the last couple of quarters is certainly better. So as we move forward, we're taking more of the orders that we'll be delivering reflect a better price environment.
Operator: And our next question today comes from Steve Barger at KeyBanc. Please go ahead.
Unidentified Analyst: Good morning guys. This is Jacob on for Steve.
Jean Savage: Good morning, Jacob.
Unidentified Analyst: My first question here is just with lease indexes improving, do you expect to see higher multi-year order activity or do you think there's still too much macro uncertainty to drive some of those bigger orders?
Jean Savage: So, we have seen some multi-year orders this year and we're still having discussions on other multi-year orders, so haven't seen that dry up, I think it's in the typical range right now.
Unidentified Analyst: Okay. Got it. Sounds good. And then, just a follow-up. It sounds like you're increasing production pretty significantly in the back half and you have a nice mix of cars there. So my question is, just how should we think about incremental manufacturing margin as you ramp in the back half?
Jean Savage: Yes. So, as we stated in our prepared remarks, we're expecting to end the year in the mid-to-high single digits on the margin. And so, that is expectations. No change there.
Operator: And our next question today comes from Brady Lierz with Stephens. Please go ahead.
Brady Lierz: Yes, good morning everyone. This is. Brady, on for Justin, and thanks for taking my question. There are a lot of cross currents going on right now from a macro perspective. And kind of with that in mind, what's your confidence on the book-to-bill remaining over 1 times for the rest of the year. And anything you could share with us on quarter-to-date order trends relative to what you saw in the quarter. Thanks.
Jean Savage: Thank you. So the inquiry level support on the ranges that we're getting in the 40,000 to 50,000 for the industry for this year and next year.
Operator: [Operator Instructions] The next question comes from Gordon Johnson at GLJ. Please go ahead.
Gordon Johnson: Thanks for taking the question. So, the book-to-bill is so strong at 1.7 times versus two times last quarter and it's clear, you guys are guiding margins production strong. Would you say, some of that guidance is due to higher, I guess, the ability to pass-through higher prices or would you say it's due to lower costs or a combination of both? And then, with respect to steel prices retreating, can you talk a little bit about what kind of price levels you expect maybe in the second half or maybe in the third quarter with respect to those prices falling?
Jean Savage: Sure. I'll go ahead and start and let Eric jump in. So, we're looking at the second half. We are seeing the improvements come through in manufacturing. Some of the efficiencies, automation and other thing. So, that has definitely helped them, but it's a combination of that plus a stronger pricing environment for us based off of where we are in this cycle. Steel prices, they have come down a little. We're nowhere near where we were pre-pandemic yet, so not expecting to get to the pre-pandemic levels anytime soon, but see a gradual reduction in those prices.
Gordon Johnson: And then if I could, just a quick follow-up, I mean, clearly as one person mentioned there's some cross currents in the economy, but you guys are guiding to strength, clearly higher EPS. If indeed we do go into a modest to aggressive recession, I guess, maybe this question we've answered, but how confident are you in that book-to-bill. Thank you for the questions.
Jean Savage: Yes. So, when you look at our backlog, we have about a year sitting there. So from June till next June, we've already got orders in place to be able to handle that with a pricing from last - we can't predict everything. But based off of what we see today, we should be able to continue to have the efficiency improvements. We've got the volume set. So it's just running and doing what we expect to do or perform in our facilities.
Operator: And, ladies and gentlemen, this concludes our question-and-answer session. I'd like to turn the conference back over to, Jean Savage, for any closing remarks.
Jean Savage: Well, thank you, everyone, for joining us this morning. As you can tell, we're very pleased with the progress we continue to make towards our goals to optimize returns in this business. Additionally, from our perspective, we see the current supply/demand dynamics for railcars to remain strong despite what has been a more volatile year for headline and financial markets. With that, we hope you have a great day and thank you again.
Operator: Thank you. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines and have a wonderful day.